Operator: Good day, and thank you for standing by. Welcome to the Owens & Minor Second Quarter 2024 Earnings Conference Call. Please be advised that today's conference call is being recorded. I would now like to hand the conference over to your first speaker today, Jackie Marcus, Investor Relations. Jackie, you may begin.
Jackie Marcus : Thank you, operator. Hello, everyone, and welcome to the Owens & Minor second quarter 2024 earnings call. Our comments on the call will be focused on the financial results for the second quarter of 2024 as well as our outlook for 2024, both of which are included in today's press release. The press release along with the supplemental slides are posted on the Investor Relations section of our website. Please note that during this call, we will make forward-looking statements. The matters addressed in these statements are subject to risks and uncertainties, which could cause actual results to differ materially from those projected or implied here today. Please refer to our SEC filings for a full description of these risks and uncertainties, including the Risk Factors section of our annual report on Form 10-K and quarterly reports on Form 10-Q. In our discussion today, we will reference certain non-GAAP financial measures, and information about these measures and reconciliations to the most comparable GAAP financial measures are included in our press release. Today, I'm joined by Ed Pesicka, Owens & Minor's President and Chief Executive Officer; and Jon Leon, the Interim Chief Financial Officer and Senior Vice President of Finance and Corporate Treasurer. I will now turn the call over to Ed.
Ed Pesicka : Thank you, Jackie. Good morning, everyone, and thank you for joining us on the call today. It's been an exciting past few weeks here at Owens & Minor. Last Tuesday, we shared with all of you our definitive agreement to acquire Rotech Healthcare Holdings, Inc. The addition of Rotech aligns with our strategy to strengthen and expand our existing Patient Direct business as one of the premier suppliers to support home-based care. Combining our organizations allows us to improve our capabilities, broaden our reach and ultimately improve our service levels to patients, providers and payers. And furthermore, it accelerates our pace to achieve our long-term Patient Direct revenue target of $5 billion by 2028, demonstrating our commitment to sustainable growth and driving long-term shareholder value. Turning to our second quarter performance. It was business as usual for Owens & Minor, as we hit our internal expectations with another strong quarter and made progress against our long-term strategic goals we outlined during our Investor Day in December 2023. The underlying strength of our business is evident with top-line growth in both of our business segments and improved profitability. We are excited about the second half of 2024 as we expect to outperform the first half of this year, a continuation of historical trends with strong back half performances. While Jon Leon, our Interim Chief Financial Officer, will do a more thorough review of our financials, I would like to briefly highlight a few of our operational and financial achievements from the second quarter. Our Products & Healthcare Services segment generated $2 billion in revenue, reflecting a 4% improvement over this time last year. Our Medical Distribution division's strong second quarter was the result of exceptional same store sales growth, enhancements on our supplier funding programs and the onboarding of new business wins. Our Global Products division also experienced some growth at the top-line and further improvements in profitability. At our Investor Day, we outlined our plan to optimize the P&HS segment through, one, leveraging the scale of the channel profitability; two, growing our Owens & Minor branded product portfolio; and three, expanding into adjacent channels and markets. In our first two quarters of 2024, we are already making progress in these areas with a particular focus on driving greater efficiencies that in the second quarter reduced our manufacturing, transportation and distribution costs. These efforts, combined with inflation-mitigating tactics gave us the financial flexibility to reinvest in our business while also doing exactly what we said we would do, increasing the overall profitability of this segment. Our Patient Direct segment posted $660 million in revenue in the second quarter, a 4% year-over-year improvement, driven by strong growth in diabetes and sleep supplies. Our growth is even more impressive given the particularly strong second quarter we had this time last year. During the quarter, we continue to focus on our key initiatives, along with our alignment on the commercial organization within the Apria division to improve growth in respiratory, oxygen and the sleep journey. By the end of the quarter, we began to see that alignment deliver improved growth. As a reminder, we typically see stronger performance from this segment in the second half of the year, and we expect a similar outcome in 2024. From a longer term macro perspective, our Patient Direct segment has considerable tailwinds supporting our organic growth efforts. From a demographic perspective, there are an estimated 133 million Americans who suffer from at least one chronic condition, with 40% of American adults suffering from multiple chronic conditions, and many more still not yet diagnosed, particularly in diabetes and sleep apnea. These demographic trends make us excited about our Patient Direct segment despite the groundswell of support for weight loss medications. Moreover, we are not currently seeing an impact from the use of GLP-1s on our serve patient population. The diabetic patients we serve are primarily Type 1 or insulin dependent, which requires continuous glucose monitoring regardless of GLP-1 use. With respect to sleep apnea patients, while GLP-1s may help some patients, there are still 80% of the population with sleep apnea that are not yet diagnosed. As I noted earlier, we announced our intent to acquire Rotech, which will be an expansion of our Patient Direct segment. Rotech brings a wealth of expertise in respiratory and home medical equipment aligning perfectly to deliver exceptional care, innovative solutions and top-notch service levels for patients, providers and payers. Being just a few months into our long-term strategic plan, we are progressing as expected in both segments. Our team has done a tremendous job in just the first two quarters since launching our Vision 2028 plan at Investor Day. From driving efficiencies, improving customer service to building strong organic growth channels and the plan to add Rotech to our Patient Direct segments, all of which proves we are on the right path, and only just getting started. We remain dedicated to achieving the objectives set forth during our Investor Day in December 2023, and our performance thus far reflects that commitment. I would now like to turn the call over to our Interim Chief Financial Officer, Jon Leon, to discuss our second quarter financial performance in more detail. Jon?
Jon Leon: Thanks, Ed, and good morning, everyone. I will be providing an overview of our financial results and some key factors that drove our performance in the second quarter as well as our outlook for the remainder of the year. Our revenue for the quarter was $2.7 billion, up 4% compared to the prior year with solid growth in both segments. Products & Healthcare Services grew 4% overall as compared to the prior year, with 5% year-over-year growth in our Medical Distribution division as same-store sales and net new customer wins drove the top line change. Patient Direct revenue of $660 million was up 4% compared to the second quarter of last year. Major therapy categories like diabetes, sleep supplies and wound again, has strong performance, although certain respiratory therapies such as NIV and oxygen were below expectations. Within Patient Direct, patient eligibility and verification continue to regain momentum. However, a meaningful decrease in backlog of customers extended into the second quarter. We should be clear of these onboarding timing issues as we move through the second half of the year. Gross profit in the second quarter was $544 million or 20.4% of net revenue, reflecting margin expansion of 11 basis points as compared to the second quarter of last year. This improvement is largely the benefit of investments in efficiency and productivity over the last several months. Our distribution, selling and administrative expenses for the quarter were $469 million, up from $455 million in the second quarter of '23. The increase was primarily due to sales growth as DS&A was just below 18% of revenue for both this year and last year. GAAP operating income for the quarter was $20.3 million, up 87% year-over-year and adjusted operating income was $76.3 million. Adjusted operating income was up 23% year-over-year. Interest expense for the second quarter was $36 million, down 12% compared to $41 million in the second quarter of 2023. This is largely due to the nearly one full turn of reduction in leverage in the last 12 months, partially offset by the impact of higher interest rates versus last year. In the second quarter, we recorded a onetime tax charge of $17 million or $0.22 per share related to a recent decision associated with notices of proposed adjustments that we received back in 2020 and 2021. This was just communicated to us in late June of 2024. Due to the nature of this charge, the spike is included in our GAAP to non-GAAP reconciliations. The matter at hand, as we've discussed in previously filed SEC documents is related to past transfer pricing methodology, which is no longer employed. There is an expected related cash payment to be made in the second half of the year in a range of $30 million to $35 million. We believe the matter will be concluded without further impact to our financial results. Our GAAP effective tax rate reflects this charge and was negative 89.9% for the quarter. The adjusted effective tax rate was 28.9%. Our GAAP net loss for the quarter was $31.9 million or a loss of $0.42 per share compared to the second quarter of last year when the net loss was $28.2 million or $0.37 per share. Adjusted net income for the quarter doubled to $28.2 million or $0.36 per share from $14.2 million or $0.18 per share during the second quarter of '23. Adjusted EBITDA was $127 million, up 12% versus the $113 million reported in the second quarter of last year. Also, we generated $116 million of operating cash flow this quarter, a strong improvement versus Q1 of '24. This allow us to reduce net debt by $70 million. We anticipate a good cash flow generation here that will include typical lumpiness quarter-to-quarter, and we remain intensely focused on cash flow generation. With respect to our current outstanding debt, we have $171 million of a series of notes, which is due in December of this year. Earlier this week, we gave notice to redeem those notes at par in September and will do so with cash on hand. We remain committed to delivering our 2024 guidance. We expect revenue to be in the range of $10.5 billion to $10.9 billion, adjusted EBITDA to be in the range of $550 million to $590 million and adjusted EPS with a midpoint of $1.55 per share in an overall range of $1.40 to $1.70. Now as in prior years, we expect to see modest sequential growth between the second and the third quarters and greater sequential growth from the third to the fourth quarter. And again, I want to remind you that this guidance excludes any impact of the Rotech acquisition. With that, I'll turn the call over to the operator for the Q&A session. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Michael Cherny with Leerink Partners. Please go ahead.
Michael Cherny : Good morning. And thanks for taking the question.
Operator: My apologies. [Operator Instructions].
Ed Pesicka : Hey, Michael. We lost you. Why don't we move on to the next question, Mike will get back online.
Operator: Michael Your line is now open.
Michael Cherny : Hi, can you hear me this time.
Ed Pesicka : We can, Michael.
Michael Cherny : Okay. That was a first. I hope [indiscernible] began.
Ed Pesicka : Sorry about that, I don’t know what happened.
Michael Cherny : Colder Friday.
Ed Pesicka : That’s Friday.
Michael Cherny : I want to talk about some of the operational plans that you've had put in place, in particular the progress you made on the Products & Healthcare Services side. As you think about the moving pieces on margins, you were kind of flat sequentially. Where are the biggest opportunities to expand in the back half of the year? Is it volume? Is it that unlocking of the backlog of customers? And how does the dynamics around the tariffs that are expected to go into place impact or not impact you relative to the sourcing side?
Ed Pesicka : Let me take those somewhat in reverse orders. On the tariff aspect, it's going to have a minimal impact on us and a significant portion of our products are manufactured in our own facilities, whether that's in the U.S. or whether that's in Mexico, Honduras, so in the Americas. Our glove footprint is not in China. We have, as we've talked in the past, about more than half of our gloves we're making in our own factories, and those factories are in Southeast Asia, not in China. So it's going to have a minimal impact really on our proprietary or private label products. If I think about the levers we have in the back half of the year, within our Products & Healthcare Services, it's the continued execution on sourcing as we've seen prices come down and overall, let's just take the main category PPE. We've done a really good job continuing to source raw materials at lower rates to make sure that as those prices come down, our costs are coming down correspondingly with them. The other aspect of it is really an operational effectiveness in our P&HS segment. Continue to look at our footprint, continue to look at the right level of new advanced automation technology in the warehouses to drive operating efficiencies. So we saw some of the improvement in this quarter in DS&A or distribution, selling and administrative expenses. There's where the opportunities continue to line. Longer term, if you go back to our strategy, really the longer-term impact is the expansion of our private label or proprietary product portfolio, that takes time as we build the product portfolio out and then continue to work with our customers to show the value of it and then even further along the line as adjacencies. So hopefully, that helps talk about really how we're thinking about the impact of the tariffs, how we're thinking about using our continuous improvement and operating model to continue to drive operating efficiencies out and then some of the longer term and midterm opportunities.
Michael Cherny : If I could just ask a second one on cash flow. I know that was a big focal point earlier in the year when you gave guidance, you talked of some of the customer onboarding. Can you talk about the dynamics behind the reversal this quarter and how that should factor in, in terms of your cash generation versus use over the course of the year, especially as you think through normalizing the onboarding of some of those large customer wins you had?
Jon Leon: Yeah, Mike, it's Jon. So obviously, as you mentioned, we talked before about the need to add inventory for those onboarding activity, and that could also slow down AR a little bit when you bring on large customers like we did in distribution. What you saw in Q2 was a little more lift in inventory, and that was offset by payables and payables kind of offset that pretty nicely. Like Q1, we also had the quarter end on a Friday, which is actually beneficial to our payables. And we have been pretty successful in driving out payment terms where appropriate with third parties. So that combination is going to continue to help us out in the back half of the year. Keep in mind, we'll also get the seasonality in the back half of the year, particularly in Patient Direct, which will have very well very attractive cash flow as the year goes on, and their contractual allowances should drop as the year goes on as well. So I think we'll see more efficiency, we will see more efficiency in working capital around payables, we see with inventory. And then we look at the seasonal now keeping in mind that what you're looking at is a point in time at the last day of the quarter. So we're actually -- we're more efficient in Q2 than we saw, for example, average inventory was lower than it was at the very end of the quarter. So we were able to get that cash flow and reduce debt. But I think as the year goes on, that working capital efficiency and then the seasonality of the business will drive pretty attractive cash flow compared to the first half of the year.
Michael Cherny : So will you have meaningful cash flow conversion over the course of the year? I know that would be a point of contention earlier in the year.
Jon Leon: Yeah, I would be very disappointed if we did do quite a bit better in the second half than we've done in the first half.
Michael Cherny : Got it. Thanks so much.
Operator: Your next question comes from the line of Kevin Caliendo with UBS. Please go ahead.
Kevin Caliendo : Good morning, guys. Thanks for taking my questions. First, can we talk a little bit -- there's been a lot of interest around what's going on with shipping costs and how it impacts the channel, the tariffs are one thing, but the shipping costs have -- the ones that we can track anyways have risen dramatically. And I guess I'm trying to understand how it impacts you? How it impacts the industry? Does it help you that you year sure? And does it make your products that are manufactured domestically more attractive? Just trying to understand the impact across the channel.
Ed Pesicka : Yes. So it's primarily an impact on the P&HS segment, not necessarily in the Patient Direct segment. Yes, for those products that we're manufacturing nearshore, it has to create some level of an advantage for us. But again, I talked earlier that about half of our gloves we're making our own factory in Southeast Asia and bringing them over. It's impacted us in a couple of different ways. As we started to see those rates start to rise, we have made some investment in incremental inventory coming over in advance of some of those larger increases that we're seeing in the marketplace. But ultimately, this is going to have a bigger impact on those that do primarily all of their sourcing or the vast majority of the sourcing from overseas. Look, it's a headwind that we know we have in the business. It's also part of how do we utilize our operating model to continue to try to offset that, whether it's advanced shipments prior to some of those increases, but also continue to look at different ways to more efficiently bring the product over. But it is going to create some level of a headwind in the business in the back half of the year.
Kevin Caliendo : So what you're saying is you're trying to get product in sooner, maybe you're going to build up more inventory before it starts to affect as much as you possibly can and hope that customers will be willing to buy those sooner because they know the prices are likely to go higher. Does that in general --
Ed Pesicka : And it may not necessarily then buy the products sooner and just to have a better landed cost on the product than not.
Kevin Caliendo : Maybe this is one for Jonathan. The Patient Direct ramp in the second half is the -- it's a little bit more than normal seasonality, it looks like to me. Can you just give us a little bit of comfort or rationale behind why there will be this acceleration? I know there were investments, but if you can maybe go a little deeper on that, that would be great.
Jon Leon: Yeah, Kevin. The biggest faster, as I indicated in my remarks, were we're still dealing with the backlog in Patient Direct that, frankly, is a holdover from change that we probably underestimated because the extent of that impact Q1 to Q2. We have a normal queue of people waiting for suppliers all the time, but this is substantially larger than it would normally be. And those are primarily sleep patients, so it's a little more profit associated with them. So if you factor that -- we are catching up. There's a lot of manual effort to go into that catch up, but we are catching up and we're clear that backlog. So you think that combination then with the normal seasonality in the business, we're pretty confident in a much stronger second half.
Ed Pesicka : And I'll just add two other things is one is we clearly understood that when we added additional commercial resources, that would create some level of, I'm going to call it disruption, but some level of impact in the beginning of the year here with the expectation that it takes about 12 months with them to provide a positive impact. So we'll see that as that progresses in the year. And the other thing, if you look at Q2 year-over-year, last year, our Q2 growth rate was pretty strong. So those are some other factors that give us the comfort in the back half of the year and the growth.
Kevin Caliendo : Great. Thank you, guys.
Jon Leon: Thanks, Kevin.
Operator: Your next question comes from the line of John Stansel with JPMorgan. Please go ahead.
John Stansel : Great. Thanks for taking the question. Just following up on the plan around Patient Direct. Is there just a way to frame given you have some visibility into this backlog about how you think about the impact on Patient Direct top line growth? And then now that we're kind of a month into the third quarter, is this something that you think now is change is kind of coming in the rear view that will be more of a 3Q benefit? Or is this something that kind of could progress into 4Q?
Jon Leon: Yeah, Jon Leon. We help you think about it. So what happens -- the eligibility verification process has become very manual very quickly. And we're doing a very good job of clearing that, getting better at that and bringing on new providers to help us with that process. The way to think about it, and I would call it back up at any point in time, there's a queue of 10,000 customers waiting for supplies and that we saw that into June growth to as much as 50,000. So that is getting better now. We're going through the third quarter. We'll continue to get better throughout the year. So that has certainly impacted the growth. And I think the order a lot of it is predominantly sleep supplies, and that's a very attractive margin business that we're waiting to get online.
John Stansel : Great. And then just kind of thinking about gross margins that stepped down sequentially from the first quarter. Now I normally think of this as kind of gross margins stepping up throughout the year. Is that kind of slight step down that you saw is that more kind of attributable to the Patient Direct, I guess, mix shift? Or is there other factors you'd highlight about kind of what drove that? And then I would assume, given your reaffirmed guidance, we should just see a bit of a steeper ramp into the back half for gross margin. Is that kind of the right way to think about it?
Jon Leon: That is the way we think about it. Mix shift in Patient Direct can be meaningful, and we've talked about before that versus sleep and respiratory areas have higher margin in like diabetes, which has been growing very nicely for us.
John Stansel : Great. Thank you.
Operator: Your next question comes from the line of Stephanie Davis with Barclays. Please go ahead.
Stephanie Davis : Hi, guys. Thank you for taking the question. Now that you've had a little bit of time to just had the market digest the Rotech acquisition announcement. I was hoping you could tell us about some initial feedback from your payer and provider customers and how they're thinking about the deal?
Ed Pesicka : Yeah. I'll just talk a little -- maybe started at a high level. I think it's been clear the feedback has been that this is clearly in line with the strategy you talked about, about continuing to invest inorganically specifically in the Patient Direct space, continuing to provide a better solution. It's still early on. So to get the patient and the payer feedback, that's still in process. But overall, it's been extremely positive. I think overall, from a standpoint, we believe that this is going to ultimately provide a much better experience for the patient, the ability to focus on a single company to support them as well as be able to get their products hopefully potentially more efficiently. And then the same with the payers being able to have -- continue to work with us. So it's early on. I think we'll continue to gather that information, but that's where we are on it right now.
Stephanie Davis : And a follow-up on Patient Direct, you did call out some uses in the quarter on NIV and oxygen. Could you call any trend or if that's more of a one-off with the own business, just given the exposure at Rotech?
Jon Leon: No. I would tell you, what we've is now a couple of quarters now Steph, and we've talked about when we're not doing what we should we do and expect to do in terms of growing NIV oxygen. I would call that unique to us. I'm confident that's unique to us, and we have plans in place and working on that to that in the back half of the year.
Stephanie Davis : Hey, maybe some rainy season we do. Thank you much.
Jon Leon: Exactly.
Operator: Our next question comes from the line of Daniel Grosslight with Citi. Please go ahead.
Daniel Grosslight : Hi, thanks for taking the question. I want to go back to some comments you made around cash flow and that being meaningfully -- you expect that to be meaningfully better in the second half versus the first half. That would put you in kind of solidly positive free cash flow territory for this year versus your commentary last quarter where you had thought you would be effectively flat or no free cash flow this year. So I'm just curious what changed in your thinking? Where are you outperforming your initial expectations? And I just wanted to confirm, that cash flow commentary also contemplates that $30 million-plus payment in the back half of this year.
Jon Leon: Yeah, it does. First of all, Dan, it's Jon. Secondly, I would tell you the increased confidence in cash flow comes around the focus and the visibility into working capital activities currently underway. We've talked about a couple of quarters about the inventory ramp and Ed talked about that inventory being a little bit higher now for some shipping purposes getting ahead of that curve. But even throughout most of the second quarter, we saw inventory be pretty well moderated compared to Q1, a little bit late in the quarter. But I think as we think about that, we get a little smarter about our AP and AR and getting better terms from folks. I think we're pretty confident that cash will get better as the year goes on.
Daniel Grosslight : Got it --
Jon Leon: I'm sorry, Dan, just to tell you, we're seeing better collections on a regular basis at a Patient Direct
Daniel Grosslight : Got it. Okay. Okay. And there were some legal expenses this quarter, I think, related to the Apria. Just curious what's driving that? And if you expect to see increased legal expenses for the remainder of the year as this quarter?
Jon Leon: No, nothing going forward. That was a onetime settlement and action that began before we bought Apria. So that has now been totally behind us. So nothing else we look forward with that.
Daniel Grosslight : Okay, great. Thank you.
Operator: Your next question comes from the line of Eric Coldwell with Baird. Please go ahead.
Eric Coldwell : Thank you very much. I apologize if I missed a couple of these -- for some reason have had a hard time with the connection here. Just a little bit hard to understand somethings. In 2Q, did you break out the difference between Medical Distribution growth and products growth that combined to get you to the 4%? Did you give the --
Ed Pesicka : No, we didn't. We did not.
Eric Coldwell: Can you?
Jon Leon: Well, I think we said net distribution grew 5% in the overall segment grew 4%. So I think --
Eric Coldwell : Yeah, I didn't hear that. It's been a bad connection today. Okay. And then on the cash flow, I know you've given a number of reasons why it improves, but I still am not sure why the original guidance was flat and now it's so much different. Was it that you're just fundamentally managing the business differently? Or things you expected through Q1 up to the last call, just they're turning out differently than you originally expected? It just seems like a very different conversation 90 days later than it was 90 days ago.
Ed Pesicka : I think that's fair, Eric. And I think it comes down to one is focus. As we continue to look forward, I think you've got better visibility now into forecasting of where we think -- where the opportunities in the lever are and then it's execution on some of the initiatives we have to drive working capital improvement. So that's -- those three major factors are where it is. It's the focus, it's improved forecasting and our ability to execute on some of those opportunities.
Eric Coldwell : Great. And I'll just kind of go back to the Medical Distribution growth of the 5%. Would you be capable of breaking out how much of that growth was market versus new wins? Same-store versus new wins?
Ed Pesicka : Yeah. I think it's -- if I think about the two of them, they're relatively consistent -- I mean, so what's hard to do is -- our same-store sales, if we look at our same-store sales, they're consistent with that 4% and then our wins are consistent to help move that up further. And then there's still some remnants of some other losses we've had in the past that are rolling out. So that's the way I would think about it is from that standpoint.
Eric Coldwell : Got it. Okay, thank you very much. I appreciate it.
Operator: That concludes our question-and-answer session. I will now turn the conference over to Ed Pesicka for closing comments.
Ed Pesicka : So thanks, everyone, and excited and thankful that everyone join the call today. Now if we think about the future at Owens & Minor, we're extremely excited of what's yet to come here. We continue to execute on our long-term strategy. We continue to focus on our operating model. We continue to get excited about the potential and future integration and approval with the Rotech rolling that into our Patient Direct business, which will provide, we believe, significant better service for our patients, providers as well as the payers, and really pleased with the progress we've made to this point in time in our Products & Healthcare Services business. So with that, I appreciate the time today and look forward to talking again next quarter. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. And you may now disconnect.